Operator: Good afternoon, ladies and 
 gentlemen. Welcome to the Fourth Quarter 2016 Earnings Call. My 
 name is Ronnie, and I'll be your conference operator today. 
 [Operator Instructions] 
 I would now like to turn the conference over to Steve Cootey, 
 Chief Financial Officer. Please go ahead. 
Stephen Cootey: Thank you, and good afternoon. Joining the call on behalf of the 
 company today are Steve Wynn, Matt Maddox, Maurice Wooden and 
 myself here in Las Vegas. Also on the phone are the operational 
 management teams from our Las Vegas, Macau and Boston properties. 
 Before we get started, I just want to remind everyone that we 
 will be making forward-looking statements under the safe harbor 
 federal securities laws, and those statements may or may not come true. 
 And with that, I'm going to turn the call over to Mr. Wynn. 
Stephen Wynn: Very nice to have this call. You've seen our numbers, up. I have 
 a couple of comments. We opened the Palace in Macau on August 
 22nd. We opened the Wynn Macau on Labor Day of 2006. It took us 
 about a year to get that property to produce operating profits of $1 million a day. We were able in the -- in September, October, 
 November, December to get to over $800,000 a day. And the way we 
 operate, we tend to ramp up and put very little marketing 
 pressure on a property to find out what its baseline strength is.            
 I've said this before, but it's worth repeating because I'm happy 
 to say that since the 1st of the year -- and during that period, 
 the Macau and Encore properties maintained their levels of 
 revenue without being negatively or adversely affected by the new 
 hotel in Cotai and so that revenue was additive. 
 However, in -- since the 1st of the year, without Chinese New 
 Year, which is going to begin today, we were able to have the 
 Wynn Palace come up to a $1.6 million a day, and Wynn in Macau in 
 $1.4 million a day. So the 2 hotels have been throwing off about 
 $3 million a day, and I'm very glad. It means that our situation 
 is right on target, right on schedule. As a matter of fact, we're 
 a little ahead now, with our hotel occupancy at the Palace, ahead 
 of our predictions. We're running in the 90s at rate, and we're 
 pushing rates upwards in our occupancy, which has caused us to 
 have very good mass market success in Cotai. 
 We're still barricaded on 4 sides by construction by both by the 
 city's light rail system and by construction on 2 sides, by SJM 
 and MGM. And at this point, we're not really clear on when those 
 properties will open. But we are pretty clear that the light rail 
 and our barricades, that have interfered with foot traffic, will 
 be relieved by the spring. 
 So I think if you're planning and looking at our operation in 
 Cotai, you can pretty much figure that we're going to be 
 barricade-free by the second half of this year, sometime during 
 the second quarter. So the fact that we're experiencing this good 
 mass market activity is a function of our high occupancy at 
 Cotai, which produces a higher end customer consistent with our 
 position in the market, both in the Macau original downtown area 
 and the Cotai area. 
 Our fourth quarter was satisfactory in Las Vegas, and January is 
 operating ahead of last year as we head into Chinese New Year, 
 which kicks in pretty much tonight, tomorrow and this weekend. So 
 we expect a happy ending or at least a vigorous ending in terms 
 of casino activity at the end of January going into Super Bowl in 
 February and the holidays in the first quarter. 
 That's pretty much my take as an overlook on our operations. 
 We've been in construction since July in Boston. Bob DeSalvio is 
 on the telephone. One of the most unusual parts about our 
 business is that our 2 Chinese op -- our Chinese operations are 
 run by 2 Irishmen. And Ciarán and Ian are both on the call. And 
 Matt and I are here with Maurice Wooden, who runs America, to 
 answer any of your questions. And we'd be happy to take them now. 
 Questions? Ma'am, you can begin to take questions on this call if 
 I'm still on it. Does nobody have any questions today? 
Operator: [Operator Instructions] And we have a question from the line of 
 Felicia Hendrix. 
Felicia Hendrix: So the color you just gave us in the opening remarks were very 
 helpful, where Wynn Palace has ramped to on EBITDA per day. And I 
 was just wondering if you could just talk to us about what has 
 happened to that property since the last quarter to get there? 
 Has it been more tweaking the product, more proactive marketing? 
 Has it benefited from the growth in the market? All of the above? 
 I just think it would be helpful to get some details around what 
 has been driving that. And then in line with that, regarding the 
 margins that you're generating at the property, the EBITDA 
 margins, like, have you gotten to above 20%? How long does it 
 take to get to normalized margins at the property? 
Stephen Wynn: You know what? I think that Ian is perfect. He is -- he got up at 
 5:30 in the morning to talk to you, and I think we ought to let 
 him do so. 
Ian Coughlan: Felicia, we've done a significant amount of work at Wynn Palace 
 after the property opened. We completely reconfigured our main 
 casino floor, and that's driven much greater animation and 
 excitement. We've added 2 themes, slot sections, a high promotion 
 -- high-energy promotions area, a new poker area. We've also 
 increased accessibility to our high-limits area. We're 
 constructing a new noodle restaurant on the floor, which has made 
 the casino smaller and also helps with the energy. We have 
 increased our marketing activity both from an awareness 
 perspective and also with general players that are visiting. And we have increased headcount. We've become a member of the much- 
 fabled Cotai Connection, which is bringing in just over 1,000 
 extra people a day. And the ramp-up in occupancy from the low 70s to mid-90s has been a big help in animating the property. And just generally, we're finding after you get through the chaos of the first 6 to 8 weeks, a property settles and the true players in Cotai are finding our property and discovering it and visiting 
 us. We were very much helped by exposure over the October Golden 
 Week. And particularly, Christmas and New Year was a very busy 
 period for us. So people are experiencing the property, the right 
 type of players are coming and they're finding it to be their 
 home. There has also been a very, very active program of 
 reenergizing inactive players, players that had either split 
 their play from Wynn Macau into the new properties in Cotai or 
 had moved over to Cotai completely. And we've reenergized a lot 
 of those players and they're coming to our property. So we've 
 been helped by a lift in the market also, but it's pretty much 
 everything that Steve covered earlier. 
Stephen Wynn: One of the things that is being demonstrated, once again, it's 
 not the amount of tables, it's whose active, and we're probably a 
 perfect example of that. Wouldn't you say so, Ian? 
Ian Coughlan: Yes. 
Stephen Wynn: Yes, I don't know what our market share is going to show, but I 
 suspect that it will climb from the last quarter. 
Ian Coughlan: Chinese New Year is a great exposure opportunity for us as well. 
 It's the first prolonged holiday period. So we expect very, very 
 high visitation from people that would normally attend other 
 properties. 
Felicia Hendrix: And if we did our quick math correctly, it looks like VIP versus 
 mass mix is roughly 60/40. Where do you want that property to end 
 up? 
Stephen Wynn: What about that Ian? 
Ian Coughlan: I mean, we're growing all segments of the business. We've seen -- 
 the interesting thing in the split between Wynn Macau downtown 
 and Wynn Palace is the strength of our junkets and also the fact 
 that our mass play downtown hasn't been affected a drop. So we're 
 continuing to grow all segments at Wynn Palace. But where the 
 split works out, we'll see. But I think it will be healthy and 
 pretty similar to our operation downtown. 
Stephen Wynn: Right. And it could -- I should add this. Because we get such big 
 play, volatility plays a role month-to-month in that sort of 
 thing, probably more so with us than with some of our neighbors, 
 and that's also true in Las Vegas. But having mentioned that, 
 volatility is a factor when you look at our company compared to 
 our colleagues up and down the street here and abroad. But 
 remember, that volatility factor does have a concomitant benefit. 
 We always, year-in and year-out, run a higher hold percentage 
 than our neighbors. And that's a historical fact, and it has to 
 do with the kind of people that come to a place that is geared 
 toward the top end of the market. Even though we have more 
 volatility, we still settle at a higher level than everybody 
 else. 
Felicia Hendrix: And just on the EBITDA -- the margin question? 
Stephen Wynn: 30% in Las Vegas. And Matt, what is it China? Very close? 
Matt Maddox: Yes. I mean, it's -- Wynn Macau has always been in that 30% range. 
 And your question was when can we get Wynn Palace ramped up over 20%? 
 I think that is certainly going in that direction right now. So 
 we're seeing [indiscernible] on everything. 
Felicia Hendrix: Yes, that's what I was asking. Like so -- are you over 20% now? Not 
 in the quarter, but through this? 
Matt Maddox: Yes, yes, yes. 
Stephen Wynn: Yes, we're on our way there. So... 
Operator: Your next question comes from the line of Carlo Santarelli with 
 Deutsche Bank. 
Carlo Santarelli: Matt, just quickly in terms of Peninsula low mass hold, high VIP 
 hold, looked a little lower on VIP at Palace. The net effect of 
 all of that stuff with respect to EBITDA, any kind of guidance on 
 that? 
Stephen Cootey: It's about -- this is Steve. About $6 million light. 
Stephen Wynn: 6 -- we're $6 million light. We just had another $6 million. 
Carlo Santarelli: Would have been another $6 million. Okay, great. And then, Steve, 
 on your comments regarding kind of October, November, December, I 
 think $840 million a day was the EBITDA at Palace. You said over 
 $800,000 a day for -- was that for each of the 3 months? 
Stephen Wynn: I -- Ian, is that -- is it? I didn't look at that, that way, or 
 at least I had forgotten. Matt, [indiscernible] 
Matt Maddox: It's around... 
Ian Coughlan: In consecutive months. 
Carlo Santarelli: Great. Okay. That's helpful. And then, Ian or Ciarán, and just 
 whoever wants to opine. But in terms of what you guys are seeing 
 in the market right now, and I'm speaking more so towards the VIP side. Clearly from the DICJ results for the fourth quarter, VIP has meaningfully changed. What is your opinion on that as we look out to 2017? And do you think we're at the beginning of a 
 sustained rally in that market? 
Ian Coughlan: It's been fits and starts throughout 2016. People talked about a 
 VIP recovery, but we really have seen a recovery over the last 
 2.5, 3 months. There's a lot more confidence. There appears to be more liquidity in the market, particularly with the junkets, and it's being sustained. So the outlook is pretty promising. 
Stephen Wynn: I have said this before and I want to repeat it again. It is very 
 important to keep a long view of China. The leadership of that 
 country, and this is also true of Macau, it is a meritocracy and 
 there are smart people running the government. They don't move as fast as we do in the United States, especially these days with our new administration, but there is a steady program afoot. Xi Jinping decided that it was a priority of his administration to 
 eliminate the perception of corruption that was held by the 
 people with regard to government. And that effort was vigorous 
 and protracted and it did have an effect. But it seemed to be the right thing to do for the right reasons, and it had an effect on luxury brands and -- such as gaming and Louis Vuitton and Chanel and Mercedes-Benz and that sort of thing. But the long-term thrust of China is inexorable and undeniable. And that's why we build what we built, and we're going to build more in the future 
 because we have real estate to do it. We have a very, very 
 bullish, bullish attitude about China long term for our company. 
 And as we manage our properties, we -- in anticipation of that 
 kind of movement in the general economy, we're being rewarded. 
 And I think it's probably a sound way of looking at China and our business long term. 
Carlo Santarelli: Great. And then, if I could, just one follow-up. I know you 
 mentioned Bob's on the phone. It looks as if costs for Boston are up maybe $300 million at the midpoint. Could you talk a little bit about maybe what that relates to? 
Matt Maddox: Yes, the -- this is Matt Maddox. So we're working through our GMP right now. The previous budget had been in there for a number of years. We put a fairly conservative estimate out of -- in our 
 current earnings release. And I think over the next 90 days, 
 we'll have much more clarity as we nail our -- as we finalize our 
 guaranteed maximum price contract. 
Stephen Wynn: But it's moving along. I mean, they're proceeding at pace. We've 
 been in construction since July, and we're satisfied with the 
 progress. 
Matt Maddox: It's -- we've spent about $467 million to date. 
Operator: Your next question comes from the line of Joe Greff with JPMorgan. 
Joseph Greff: Just a question on Wynn Palace. I think it was Ian who mentioned 
 about some of the physical changes that you guys are making to 
 the property. Amongst some other things that you're doing is 
 maybe marketing differently or to different customers. Can you 
 talk about marketing expenses? Are they elevated relative to what 
 you think might be a normalized level? And to what extent do you 
 think they might normalize over time over what time frame? 
Stephen Wynn: That's an interesting question. Ian, do you want to take a crack 
 at that? You or Ciarán? Or [indiscernible] 
Ian Coughlan: Sure. Linked with the opening and marketing expenses were in the 
 range that we anticipated, but they were slightly higher than 
 what we'll have as a run rate for the remainder of the year. 
 We've already seen the marketing expenses start to come down. So 
 they're within the Cotai range. It's a different market place 
 than downtown. Marketing reinvestment is generally higher than 
 Cotai, but it's where we anticipated it to be. 
Joseph Greff: Great. And, Ciarán, welcome to the fun conference calls here. 
 Maybe you can talk about, since you're new, where you see the 
 opportunities for Wynn Palace to improve? And Steve Wynn, maybe, 
 Steve, you can talk a little bit about maybe some of the 
 opportunities that are more obvious now that were less obvious 
 upon the opening in terms of ways to improve revenue and 
 profitability there from here. 
Ciarán Carruthers: Go ahead. 
Stephen Wynn: Go ahead, Ciarán. 
Ciarán Carruthers: Thank you for the welcome. I'll let Ian talk to the opportunities 
 there for Wynn Palace as my fault as now is going to be to 
 continue to maintain the position and the performance of the 
 downtown Wynn Macau property. Obviously, the Peninsula remains a 
 very solid proposition for the very core market of high-level 
 game as they're coming into Macau. And I think the performance in 
 Q4 is solid as that has been despite the opening of Wynn Palace, 
 despite the opening of some of the other new properties on Cotai. 
 All is very well moving forward into future. Obviously, work to 
 be done to continue to maintain that position and maintain the 
 service planners and so on. It's been incredibly welcome and 
 enjoying the property and seeing just how much commitment there 
 has been, both from Las Vegas in terms of the spend to maintain 
 the physical property and also the commitment and the hard work 
 of the team of professionals that are there and -- that provide just 
 excellent service. We've just got to continue to build on that. 
Stephen Wynn: Look, the way to look at us and that'll give you the insight to 
 project us, we have a very definite approach to this whole notion 
 of the gaming business and integrated resorts. And our approach 
 is based upon 2 solid truths. Number one, better customers. 
 People who have the money to choose, who engage in visiting 
 hotels and facilities of this type have a common thread that is 
 undeniable. And that is they go where they're treated the best 
 and where the facilities are superior. If you are a player who 
 attends these places, you have a choice and you always go -- in 
 the long run, always go with the rooms are better, where the 
 facility is immaculately maintained and where the staff has had 
 invested in it tremendous amount of energy for training and 
 personal attention to the guest. That is to say, we're very 
 customized in the way we treat our people and the way we present 
 our facilities. In the long run, that garners the strongest 
 possible clientele. And again, I point out, it's who's in the 
 building, who's sleeping in the rooms that determines the 
 results, both in gaming and non-gaming results. It is true that 
 there is a second approach to this business, which is more akin 
 to Walmart and the mass approach. And the Sands and the Galaxy 
 and the Melco people do that beautifully. We come to these people 
 with a different message, that if you have the money and the 
 inclination to visit such places, ours offers the most luxurious 
 environment and the best service and the best food. And in the 
 end -- and our shops are catered to the kind of people we expect 
 to be staying in the rooms. That's to say that our facility is, 
 at the end of the day, truly integrated, but it's integrated with 
 a philosophy that's integrated. And that tells you our story. 
 That's the Wynn story plain and simple. It's never been any 
 different, whether it was the Golden Nugget downtown, the Golden 
 Nugget of Atlantic City, Beau Rivage in Mississippi, the Wynn and 
 the Encore in the central part of Macau or the new Palace at 
 Cotai. And that will be exactly what happens in Boston. And 
 that's going to be our story, and it won't change. And you've got 
 a long history of our operations from Rivage and Bellagio and the 
 Golden Nugget to the buildings that we're operating today. There 
 is nothing mysterious or secretive or in a certain sense, 
 particularly cunning, about what we do. It's very 
 straightforward, right out in the open where everybody can see 
 it. Our competitors choose to approach their challenge in a 
 slightly different way, and it's certainly valid based upon the 
 earnings and the results of those places, but we slot in 
 somewhere else. And in the long run, it gives us tremendous 
 stability and performance that a room for room, foot by foot in 
 any building that we built, they tend to over-perform. And we're 
 comfortable doing this. I would say that we probably -- our 
 management team is a collection of men and women who are 
 attracted to the pursuit of excellence. We share a common 
 understanding of who we are and what we present to our guests. So 
 we're at least consistent, but we're definitely different in our 
 approach than some of the other places. And that's not to say 
 that their approach is less valid than ours. But ours is well- 
 defined and historically consistent. 
Joseph Greff: Steve, can you give us the latest update on Paradise Park and the 
 developments on the golf course? 
Stephen Wynn: Well, that takes up most of my time. And we're very close to 
 having our choices settled in. And we are adding significantly to 
 our non-casino revenue, both in the building of the lagoon and 
 everything that surround that lake. It's a 1,000-feet x 1,000- 
 feet in general terms, close to 20 acres of -- 20 or 23 acres of 
 space, surrounded by a 4,400-foot long boardwalk, that's 18-feet 
 wide and which is ringed with retail food and beverage and an 
 additional hotel rooms, convention and meeting space and various 
 attractions for the 800,000 people a week that come here. And it 
 includes a new big theater, a new tower of rooms, substantial 
 expansion of our convention and meeting space and related 
 entertainment attractions and customer activities that we think 
 will appeal to a broad range of folks. And having the ability to 
 have a perimeter that's white sand beaches and a boardwalk seems 
 to us to be pretty fetching in the middle of the Southern Nevada 
 desert. We have a unique... 
Joseph Greff: What are you thinking in terms of the timetable? 
Stephen Wynn: I hope to take -- Matt and I hope to take the business plan to 
 our Board of Directors in the second quarter and therefore, be in 
 a position to begin work in the fourth quarter of this year. I 
 say that, but we have to have our prices and our business plan 
 all locked down before I go to my board to get their permission 
 to proceed. We keep the board apprised in every meeting and on 
 every telephone call of our latest nuance in that development. 
 But the incredible amount of options that were available on this 
 130 acres with a 1,000-acre feet of private water, the choices 
 were numerous. And my challenge and my design team that had been 
 with me for over 35 years has been to make sure that we make the 
 right choices. And there have been so many of them, it's been 
 dizzying. But I think that we've nailed it down. We've wrestled 
 it to the ground. And Maurice, Matt, all of us have a tremendous 
 amount of confidence that it's the only way forward. I mentioned 
 that last September -- for example, very interesting. Last 
 September, there were 30 days in Las Vegas, for example. We won a 
 $1,870,000 a day in the -- in gaming, and that had to be the 
 biggest number in America or anywhere but Singapore and Macau in 
 the world. And as good as that was, $1,870,000 a day, and that 
 was net of any discounts or promotion allowances, our non-casino 
 revenue was $3,340,000 a day net of comps. That tells you about 
 this causal relationship between non-casino revenue and an 
 integrated resort and casino revenue. It's the non-casino things 
 that bring the folks and determine their choices of where to play 
 the games. And so, when we approach the design of the golf course 
 property, which sits on our books at a cost of 0, that whole 
 parcel, it's -- has been written off in prior development. We 
 think that we want to take our non-casino revenue to enormously 
 high levels because we think that the probability of this 800,000 
 people a week in this city remaining the same and growing is 
 almost a certainty. And that's the fundamental assumption about 
 Las Vegas that leads us to wade in to the convention and non- 
 casino end of the business with a high degree of confidence and 
 entertainment as well. 
Operator: Your next question comes from the line of Harry Curtis with 
 Nomura. 
Harry Curtis: Two quick questions, and welcome, Ciarán. I am -- I wanted to 
 focus on the growth in VIP in the fourth quarter versus 
 sequentially from the third quarter just in the market as a 
 whole. Yet at the same time, the overall trend in mass was flat. 
 And the -- and I'm -- I would have thought that there would be an 
 inverse relationship 3 or 4 months ago. So I wanted you guys why 
 you thought, particularly mass was -- has yet or is slow to take 
 off given the openings. 
Stephen Wynn: Do you understand that question, Matt? 
Matt Maddox: Yes, I do. I think that if you look back over our history, Harry, 
 when new properties open, the junkets ramp up much faster than 
 mass. They get quick injections of liquidity and hit the ground 
 running. The mass market customers with new openings tend to not 
 come right away and then find their way to the market more in -- 
 a little more slowly. But junkets pretty much come out of the 
 gate at 100%. So that's what -- I think what you saw in the 
 fourth quarter was VIP revenue at $4.1 billion compared to $3.5 
 billion for the market. In the third quarter, you saw the new 
 properties really powering the VIP market. 
Stephen Wynn: And then again, with mass, we're still hamstrung, Matt, don't you 
 think by the barriers that surround our property? 
Matt Maddox: We are, we are, and in areas from out the market overall. Mass 
 was -- it was pretty much flat from the third quarter, but that 
 has always, when I look at the data, ramped up more slowly than 
 VIPs with new properties opening for the -- due to what the 
 junket operators, how they inject the liquidity straight into the 
 market. 
Stephen Wynn: Does that get you, Harry? Is that your -- does that answer? 
Harry Curtis: It does. And, Steve, a question for you. You commented about how 
 bullish you were about making incremental investments in Macau 
 and China. If you could put that comment into context versus the 
 -- kind of the rhetoric that's been going on between our new 
 administration and Xi Jinping's Beijing administration, it's been 
 strained. What do you think the implications are for Wynn 
 development in China, given this, at least, initial saber 
 rattling? 
Stephen Wynn: I think that's probably a good word for it. I'm of the mind and I 
 have a reason to believe that this position is shared in 
 Washington. As you know, I am acquainted with the administration. 
 Several of us in my -- in our business, were sitting within 30- 
 feet of President Trump when he took his oath of office on the 
 platform last Friday. We all believe and I mean, all of us, that 
 the most overwhelmingly important event geopolitically for the 
 next 50 years is liaison, a constructive liaison between the 
 People's Republic of China and the United States of America. That 
 truth is undeniable. That dynamic is unquestioned. Now, there are 
 issues that are real between 2 dynamic economies like China and 
 the United States, undeniably. And there's a difference between 
 free trade and predatory trade. The government in China 
 understands that it has to do a better job with intellectual 
 property rights. They do the best they can in China to create 
 jobs and take people out of poverty, and that makes them very 
 dynamic in the management of their economy with that single goal 
 in mind. It affects everything from the way they treat energy, to 
 create plants and factories, to how they manage the currency and 
 the movement of currency and their trade policy. The United 
 States has its own point of view on that subject, and the 
 President has been really clear during the campaign that he wants 
 to protect American jobs. Well, that's what they want to do in 
 China as well. So there's going to have to be a reproach -- 
 there's going to have to be an adjustment. But we basically do 
 have intelligent people on both sides dealing with this. My own 
 feeling is that it will resolve itself intelligently. You can 
 make all kinds of examples. I mean, China controls its currency, 
 but during QE1, 2 and 3, we devalued the U.S. dollar by close to 
 20%. So when the Fed in financing a deficit of close to $2 
 billion a day increases the money supply, well, that's the same 
 sort of thing, we just do it differently than they do in a 
 centrally-controlled government like Beijing. But a lot of the 
 same things are happening on both sides of the ocean, and they're 
 being done to protect the citizens of those 2 countries. Yet, 
 there isn't a leader in America or a leader in China that doesn't 
 understand that when the United States and the People's Republic 
 of China come together on an intelligent basis, the world is a 
 better place. I'm in a position to know that, that opinion is 
 held in Washington and Beijing. And it gives me long-term 
 confidence in spite of what happens short-term verbally. We 
 mustn't confuse long-term United States policy with the short- 
 term conversations that lead to its development. Do I sound like 
 a politician? That's what happens. That's what happens. We just 
 spent 4 days in Washington and you get brainwashed. It's a 
 sickness but it's fascinating and the fact that America is going 
 through a change is probably the greatest thing that's happened 
 in my lifetime because we were so on the wrong track for the past 
 8 years. And I've made no secret about that, and I think we're in 
 for better times for sure. 
Harry Curtis: To rein this back in towards -- or back towards Wynn in China, 
 with -- despite these -- the somewhat strained verbal sparring, 
 you feel confident that additional investment in Macau is coming? 
Stephen Wynn: Absolutely. 
Operator: Your next question comes from the line of Thomas Allen with 
 Morgan Stanley. 
Thomas Allen: So focusing on Macau in the fourth quarter, I'm comparing the 
 Wynn Macau property to Wynn Palace. Your VIP turnover was 
 comparable but your mass drop at Wynn Palace was about 35% lower 
 than Wynn Macau. As you continue to ramp up Palace, how do you 
 think that should change? 
Stephen Wynn: Directly related to the physical barriers that surround our 
 properties, and that only gets better with each passing week and 
 month this spring. That's my answer about that. There's an awful 
 lot of people a few hundred yards from our property, but they 
 can't quite get there, and they will, they positively will, just 
 like they did in the past. Watch it change. I tell you that it 
 will change. You can believe me or not believe me, but it's as 
 simple as that. 
Ian Coughlan: It's also due to Wynn Macau having had 10 years to build up an 
 incredibly high stable of high-limit players, particularly in 
 Encore and it will take time to build that at Wynn Palace. Seeing 
 is believing. It gets better every week. We're seeing a buildup 
 in our high-limit players and that will continue to grow over the 
 coming months. 
Thomas Allen: All right. And then just, Stephen, December you sold some of your 
 Vegas retail to Crown Acquisitions, can you just talk about the 
 rationale there? 
Stephen Wynn: Matt did that deal which was absolutely perfectly timed for us 
 and I'll let him describe it. 
Matt Maddox: So we looked at it for multiple reasons. #1, the people that we 
 partnered with are long-time retailers and in the business. And 
 so we wanted to continue to control our retail. We sold a 
 minority stake. We thought it was a good capital raise at a 
 multiple that double where we trade on the market. And so not 
 only was it the ability to raise capital to fund future projects 
 at a really high multiple, but we brought in partners with a lot 
 of experience in the luxury retail space to complement what we 
 already do. So for us, it was really a win-win, and we still 
 control it and consolidate the profits of the retail space 
 because we have over 50% of the ownership. 
Stephen Wynn: And Haim Chera and his father, Stanley and his -- that whole 
 Chera family that makes up the Crown organization, they taught us 
 a few things right off the bat. They gave us a few pointers in 
 the nuance of how we do our leases that immediately increased our 
 profitability. 
Stephen Cootey: Yes. 
Operator: Your next question comes from the line of Robin Farley with UBS. 
Robin Farley: I wanted to ask about -- you talked about how Palace is going to 
 ramp up. At your Analyst Day last year, I think you talked about 
 a range of kind 6.30% to 8.50% which is a wide range. Is that 
 still where you're thinking it will ramp? And then similarly, I 
 think you had talked about Wynn Macau, that you were maybe 
 factoring in, that it would be sort of 20% or 25% 
 cannibalization. Is that still -- also, do you think that you 
 will maybe sort of ramp to that on the downside at Wynn Macau? I 
 know this quarter was obviously -- it was only down 7% in EBITDA, 
 but just thinking about what your expectations were originally. 
Stephen Wynn: We don't think there's much cannibalization. That 25%, where did 
 that come from? 
Stephen Cootey: That was our analyst presentation showing the Wynn Palace, Wynn 
 Macau market study of over a year ago, back about in April. 
Stephen Wynn: Do you still believe it? 
Stephen Cootey: No. What we've seen is Wynn Macau has held up better than we 
 anticipated due to all the reasons we just talked about, the 
 stickiness of the clientele and the 10 years of history. And the 
 ramp-up of Wynn Palace, as we talked about in our last call, is 
 taking longer. We actually didn't anticipate all of the 
 artificial barriers, the construction, not being on the Cotai 
 Connection, et cetera. So getting to the $600-plus million in 
 2017, it's going to take longer to ramp just -- than that just 
 like we said on our last call, but Wynn Macau is actually 
 performing better than we expected. 
Robin Farley: Oh yes. No, and I wasn't suggesting that, that would be the '17. 
 I understand that the property opened later and the ramp-up 
 issues. I'm just wondering if that is still the range where you 
 think it will ultimately ramp. And then similarly, do you think 
 that as that ramps, the Wynn Macau will maybe get a little bit 
 more cannibalization along the lines of what you had originally 
 thought as well? 
Stephen Wynn: Well, Robin, with regard to the cannibalization, as Macau -- as 
 the Palace has ramped up, we haven't experienced a 
 cannibalization downtown. So what we thought before but what 
 we're seeing now are slightly different in a better way. So the 
 only way that we can really know, Robin, is to watch the ramp-up 
 of the Palace and to continually monitor the performance of the 
 Encore Wynn facility in Macau. You're asking an interesting 
 question. We are pretty much as you are, an observer of this. So 
 far, it's been good news. But the biggest thing we're looking 
 forward to, as these barriers and these obstructions come away, 
 is the ramp up of our mass business. I would have thought, Robin, 
 that the cannibalization would have occurred with the junket 
 operators and that's -- because that's where we thought it would 
 show up, and it didn't as yet. So if the mass market ramps up in 
 Cotai, I don't think it's going to affect the mass market of 
 downtown. That would be -- that would have been our -- that would 
 have been where we looked for at the least. We would have looked 
 for at the most in the junkets. And as you see, that's not what's 
 happening. I think that there's more good news in the mass market 
 in Cotai for sure because of all these other things we've talked 
 about, and I'm encouraged by what we're seeing with the junkets. 
 But I think that the Wynn Palace will get where it's supposed to 
 get. I think Wynn Macau may stay better than we thought. 
Robin Farley: Great. That's helpful. And then… 
Stephen Wynn: Is that response... 
Robin Farley: Yes, that's just -- so I think what you're saying is that you do 
 still expect that -- that range that you talked about 9 months 
 ago, it's still the range ultimately that you'll get to... 
Stephen Wynn: With one exception. With the exemption that we may not experience 
 the cannibalization levels we mentioned earlier. 
Robin Farley: Right. Right. No, that's great. And then last thing, just 
 quickly, what percent of rooms are sold for cash at the Cotai 
 property? 
Stephen Wynn: What about that, Ian? 
Ian Coughlan: So what we've experienced is very similar to the Cotai model. 
 We're doing around 60% of our rooms are casino -- directly casino 
 related, more comp-related and 40% are tour and travel, FIT and 
 wholesale. 
Operator: Your next question comes from the line of Shaun Kelley with Bank 
 of America. 
Shaun Kelley: I just wanted to go back to some of the sequential ramp-up you 
 guys are starting to see into Q1. From our seat, it's always 
 getting a little harder to get a sense of what's going on with 
 the market, kind of on a monthly basis. So I guess my question is 
 in terms of that big ramp-up that you're continuing to see so far 
 this year, how much of that would you characterize as the market 
 versus Palace and your properties continuing to take share? 
Stephen Wynn: Ian, do you have a feel for that question? 
Ian Coughlan: Well, we've -- there was a very pleasant surprise at the end of 
 the last year and earlier into this year. We had a very strong 
 Christmas and New Year as a market, a lot of holiday travel, a 
 lot of holiday travel out of China, and revenues were excellent. 
 And the sentiment about Chinese New Year is particularly strong. 
 Last year, Chinese New Year, people were pretty duller entering 
 it, not expecting much, but this year, at all levels of the 
 business, people are anticipating a very, very strong Chinese New 
 Year. 
Stephen Wynn: We are as well in Las Vegas. Maurice is here, and he can address 
 the -- this next few weeks. 
Maurice Wooden: So we've actually continued to see a great trend that we saw at 
 the end of last quarter or the last month of last year, into the 
 earlier part of this year. And our parties and our events are 
 full. And as far as the amount of credit coming in, it's been 
 pretty robust. So we're pretty confident that we've seen the kind 
 of activity that makes us feel comfortable that we've got the 
 kind of business flow that we've been looking and anticipating 
 for this year. 
Shaun Kelley: Great, and maybe just to switch gears for a follow-up. Now that 
 Palace seems to have stabilized a little bit and the ramp-up's 
 looking pretty secure, could you maybe talk to us how you're 
 thinking about leverage targets kind of into 2017 and how that 
 might filter through to possibly looking at the dividend policy 
 again, how that's sort of fits in your pecking order versus kind 
 of growth capital? 
Matt Maddox: Well, Shaun, it's Matt. If you look at our balance sheet, we have 
 significant cash on the balance sheet. We have projects underway. 
 So I would expect debt to remain fairly constant over the next 
 couple of years, but EBITDA is growing. So we're not really 
 interested in paying down a lot of debt right now. At the rate 
 our EBITDA is growing, leverage is very comfortable, and we have 
 lots of cash on the balance sheet for future projects. 
Shaun Kelley: So Matt, does that mean that, I guess, to the extent you're 
 generating positive operating cash flow, there is room to bump 
 the dividend? Or would it be more fair to kind of think about 
 being conservative right now, given just all -- just capital 
 budgets and things that can tend to shift around? 
Stephen Wynn: Well, we have only 100 million shares outstanding, so bumping the 
 dividend conservatively is not a -- doesn't really change our 
 financial posture. We're doing $0.50 a quarter and I suppose it's 
 possible we could go to $0.75 or something, but we haven't 
 discussed that. We've been more focused on: a, working on our 
 Macau operation and getting it stabilized; b, finishing what 
 we're doing here in planning in Las Vegas; and c, putting final 
 touches on everything that Bob DeSalvio is running in Boston. The 
 gaming market in America is subject to change. Things happen and 
 opportunities present themselves. I think that we probably want 
 to take a look in the next few months and see how all that plays 
 out before we tinker with any of the kinds of things you're 
 talking about, like a dividend or anything like that. The 
 market's moving, opportunities may present themselves and then 
 that would have to be folded into our planning financially. I 
 don't think there's just a hell of a lot more to say than that. 
Stephen Cootey: I think that's right. 
Operator: Your next question comes from the line of Adam Trivison with 
 Gabelli. 
Adam Trivison: Given that you have meaningful operations on both the Peninsula 
 and in Cotai, I'm interested in your thoughts on how the opening 
 of the PacOn ferry terminal may affect visitation trends in 
 Macau? 
Stephen Wynn: What do you thing about that, Ian? 
Ian Coughlan: I think any infrastructure that comes online is going to be good 
 for Macau. It allows more visitation. It'll certainly the 
 Peninsula, the current ferry terminal and -- excuse me, it will 
 help Cotai. The current ferry terminal in Cotai is very temporary 
 in nature and not a good arrival experience. So we're looking 
 forward to the opening of it. 
Adam Trivison: Great, that's helpful. And as a follow-up, based on some recent 
 filings, it looks like there were some small changes made to the 
 Wynn Boston Harbor floor plans. Can you comment on those changes 
 and maybe the thinking there? 
Stephen Wynn: DeSalvio, you haven't said anything today. Why don't you chime 
 in? 
Robert J. DeSalvio: Sure. Yes, we actually got some -- I think we got some very good 
 learning off of the opening of Palace, and we've been making 
 shifts in terms of lightening up a little bit on the retail, 
 increasing some food and beverage and meeting space opportunities 
 because we thought that would be the right mix for the property. 
 So we made those adjustments and they're going through final 
 drawings, and we think it was the right move. 
Operator: And your next question comes from the line of David Katz with 
 Telsey Advisory Group. 
David Katz: I wanted to just -- I know it's been asked from a couple of 
 different angles, but I wanted to ask about the VIP business and 
 the degree to which there is market lift. And specifically, how 
 sustainable you believe the -- I think Ian used the word 
 excellent in describing the trends. How sustainable you expect 
 those to be versus how much is the trajectory of ramp-up in that 
 business because you are now open? 
Stephen Wynn: Good question. And I understand why you ask it again. So there's 
 market trajectory and then there's our trajectory. We have an 
 advantage. You remember a few moments ago, Ian used the word 
 sticky, meaning the customer base was sticky at Wynn Macau. They 
 like it there and it's hard to pull them out of that place 
 because it appeals to them on many levels. And what happens is 
 our trajectory is very much linked to the discovery that 
 customers make of the superiority of our rooms, of the whole 
 place and how much fun it is to stay there. So we tend to get 
 stickier with better players with each passing month. And so, I 
 have to say that we only make money by paying attention to our 
 own business. What the market does is very important, of course, 
 because we're part of it, but we're working on our own trajectory 
 and we have a definite way of thinking about that and addressing 
 it. If I understand your question correctly, there's my view. 
David Katz: In other words, you're comfortable with where your trajectory is 
 headed and the market helps to some degree, but it's like... 
Stephen Wynn: Well, sure because we spent $4.4 billion making sure that we 
 could feel comfortable. We didn't really leave this to 
 salesmanship or verbalization by a CEO or any of the other senior 
 people in the company. We did this by putting our money where our 
 mouth is, and letting the property speak for itself. And as 
 people discover it, the property speaks with a very loud, 
 affirmative voice and says -- and beckons to people. When they 
 discover our rooms, when they see the facility, they say, "Wow, I 
 could stay here." Now, it takes a while for them to do that but 
 they do it. They always have done it, in Nevada, in Mississippi, 
 in New Jersey. They'll do it in Boston. It's always been the 
 same. The history of our operations is a straight-line story, 
 very much like the one that I keep repeating on these calls. And 
 it's the only thing we understand. 
David Katz: Understood. If I can just ask one more about the construction 
 disruption that you discussed at the beginning. MGM is on one 
 side and the degree to which they may be having an impact with 
 construction disruption today versus when they open which is now 
 later than what was anticipated. If you can just share some 
 thoughts about sort of how you see that impact or lack thereof 
 evolving over the remainder of the year, that would be helpful. 
Stephen Wynn: Okay. You bet I'd like to comment on that. In 1986, I bought the 
 property that is now known as the Mirage, and I built -- and it 
 was big enough to hold Treasure Island and the Mirage over a 
 period of time. But we built the hotel right up against the 
 Caesars Palace borderline, on the south end of that assembly 
 because we wanted to be near our neighbors. We thrive in a 
 competitive environment. We do much better when there is more 
 people around us, not less because there's a certain percentage 
 of the people that go to these other hotels to which -- to whom 
 we appeal in particular. It doesn't do us any good to be alone or 
 isolated. We want to be snug up against our neighbors because the 
 more rooms that surround us, the more people, the better chance 
 we have of attracting them. So we anxiously await the arrival of 
 SJM and MGM. The reason that the Wynn Macau was such an 
 overwhelming whopping success was because of its proximity to SJM 
 to the Arc, to -- what's the other place, Matt, something world? 
Matt Maddox: StarWorld. 
Stephen Wynn: StarWorld. We're surrounded downtown by these people and it 
 allows us to have an extraordinary, outrageous return on capital. 
 I think we spent $750 million on the Wynn Macau, and we made like 
 $100 million dollars a month at one point there. It's because of 
 our proximity to our neighbors, it's because we're in the midst 
 of so many visitors that we have the opportunity to exploit our 
 competitive advantages of facility and service. So we're dying 
 for MGM to open and SJM to get up and running. We welcome our 
 neighbors. We're willing to build bridges between the properties, 
 easy access. And that's one of the reasons why the Sands 
 experiences such terrific results. It's because of their 
 connectivity and their proximity to one another. And right now, 
 we're not enjoying that but we will, I hope, in 2017 at some 
 point, have the benefit of active, dynamic, well-constructed 
 neighbors who each brings something to the world of visitors that 
 makes Macau more powerful. That's the beauty of this development. 
 Las Vegas and Macau prosper because of the development, not in 
 spite of it. And we ride that wave like a surfer. So we're 
 hopeful that they get open in the fourth quarter or the third, 
 whenever. We haven't anything lately, maybe you have. I haven't 
 heard when SJM is supposed to open. Does anybody in my team know 
 what SJM's announcements are? It's a mystery. Hopefully, maybe 
 when they issue their earnings, they'll talk about it or the 
 investment community will ask them. Does anybody on this call 
 know when SJM is supposed to be finished? Do you sir? 
David Katz: I do not. 
Stephen Wynn: Yes. Ian, do you know what the latest completion dates are on our 
 neighbors? 
Ian Coughlan: Sometime in 2018 for the Lisboa Palace and all therein. And for 
 MGM, they announce the second half of this year. 
Stephen Wynn: But it's '18 for SJM? 
Ian Coughlan: Yes. 
Stephen Wynn: Well, they're on our south border. That's the least... 
Ian Coughlan: What's going to be interesting is we're going to have a quartet 
 of quality on the west side of Cotai, Steve. You'll have 
 ourselves, MGM and SJM, and then with City of Dreams across the 
 road with their new Morpheus Tower, you have 4 high-quality 
 projects all within walking distance of each other. So that would 
 become its own hub in Cotai; the first stop on the light rail 
 after the new PacOn ferry terminal in the airport. So the 
 future's very bright for West Cotai. 
Stephen Wynn: I wish it was true in Las Vegas, across the street from us, where 
 Packard [ph] was going to build and what I think the Malaysian 
 folks are going to do it. We love having neighbors. The SJM 
 facility is on the south side of our property and that's not 
 where the light rail is. The biggest interference we've got is on 
 the west side which is where Melco and MGM and our front door is, our lake and our gondola and all of our other access points. So we get our biggest slug of reliefs when MGM opens and when they 
 take down the barricades on the west side in front of our gondola 
 and our -- in front of our presentation. SJM opening in 2018 
 probably is -- their construction is the least impactful of the 
 problem that we've dealt with this year in terms of the 
 barricades. It's the west side of the property that really is 
 important to us and that's where we're looking for good news in 
 the second half or sooner. 
Operator: And there are no more questions at this time. 
Stephen Wynn: Thank you, everybody. Look forward to talking to you in 3 months, 
 and we'll have maybe more interesting stuff to talk about then. 
 Meantime, have a nice time. 
Operator: Thank you for participating in today's conference call. You may 
 now disconnect.